Operator: Good afternoon. My name is Sheryl and I will be your conference operator today. At this time I’d like to welcome everyone to the Universal Corporation Second Quarter of Fiscal Year 2014 earnings conference call. (Operator instructions). I would now like to turn the call over to your host Ms. Candace Formacek, Vice President and Treasurer. Ma’am you may begin.
Candace Formacek: Thank you, Sheryl and thank you all for joining us. George Freeman, our Chairman, President, and CEO, and David Moore, our Chief Financial Officer are here with me today. They will join me in answering questions after these brief remarks. This call is being webcast live and will be available on our website and on telephone taped replay. It will remain on our website through February 4, 2014. If you are listening to this call after that date or if you are reading a transcription we have not authorized such recording or transcription. It has been made available to you without our permission, review or approval. We take no responsibility for such presentation. Any transcription inaccuracies or omissions or failures to present available updates are the responsibility of the party who is providing it to you. Before I begin to discuss our results I caution you that we will be making forward-looking statements that are based on our current knowledge and some assumptions about the future. For information on some of the factors that can affect our estimates I urge you to read our 10-K for the year-ended March 31, 2013, as well as the 10-Q for the second fiscal quarter of 2014 which were filed today. The factors that can affect our estimates include such things as customer-mandated timing of shipments, weather conditions, political and economic environment, changes in currency, industry consolidation and evolution, and changes in market structure or sources. Finally some of the information I have for you today is based on unaudited allocations and is subject to reclassification. Net income for the first half of fiscal year 2014, which ended on September 30, 2013, was $83.8 million that is $2.95 per diluted share and includes the first fiscal quarter gain of $81.6 million before tax or $1.96 per diluted share which resulted from the favorable outcome of the Brazilian excise tax case discussed last quarter. Last year’s net income for the six months period was $71.1 million or $2.50 per diluted share. Excluding the gain in Brazil net income for the six months decreased $40.4 million compared to the same period last year. For the second fiscal quarter ended September 30, 2013 net income of $25.4 million or $0.90 per diluted share compared with net income for the prior year second quarter of $48 million or $1.68 per diluted share. There are several key items influencing our results for the six months in terms of segment operating income. Operating income in our other region segment which was down $71.5 million compared with the first half of the previous year was influenced significantly by a drop in sales volume driven actually by shipment timing. The volume reduction reflected the lower carryover shipments in Africa noted last quarter and also in Brazil in the second quarter. Fewer sales of previously uncommitted inventory and later shipments in some origins due in part to the larger crop in the current year. In addition earnings in that segment were further affected by reduced margins in South America caused by rapid green leaf price increases from volatile markets there this year. The North America segment achieved a $6.4 million increase in operating results on improved sales volumes due in part to some earlier shipment timing and lower processing overheads. Selling, general and administrative costs were $26.6 million higher in the first half mainly due to unfavorable comparisons from large currency remeasurement and exchange losses for the current fiscal year, mainly in Asia, Africa and South America compared with large gains in the first half of the prior year. In summary, our comparative results for the first half of this fiscal year continue to be skewed by large sales of carryover crops and earlier shipment timing in the prior year. Although production of flue-cured and burley tobaccos outside of China is higher this year, our leaf volumes shipped in the first half of the fiscal year were significantly lower than last year's levels. Looking forward we expect the second half comparisons to normalize with shipment volumes meeting or exceeding those of last year. Although we are facing some hurdles this year the leaf markets continue to be strong. As the leading global leaf supplier we work closely with our customers to assure their ongoing requirements for quality, compliant leaf are met around the world. To that end, we are pleased to have recently announced that we have launched a program to expand our leaf production and processing capacity in Mozambique. Similarly, other smaller-scale projects are concurrently in development in several other origins to enhance local processing and leaf services to bring additional value and services to our customers. We expect to incur incremental capital expenditures of approximately $50 million for these projects beyond our normal maintenance spending, but the investments will be spread over a two-year period. We expect to begin to see the benefits from these projects during fiscal year 2015. We continue to prudently manage our balance sheet, including recent further reductions in long-term debt, and we are well-positioned to fund projects such as these to enhance our capabilities and offerings. Our financial strength also enables us to continue rewarding our shareholders, as we have done once again, with our 43rd consecutive annual dividend increase announced earlier today. At this time we are available to take your questions.
Operator: (Operator Instructions). And we have a question from the line of Ann Gurkin.
Ann Gurkin – Davenport & Company: Good afternoon.
Candace Formacek: Hey, Ann.
Ann Gurkin – Davenport & Company: First of all congratulations on remaining shareholder focused and returning value to your shareholders through your share repurchase program and increased dividend, nice to see that news today.
Candace Formacek: Thank you.
Ann Gurkin – Davenport & Company: Some questions regarding some of the comments Candace just made and also highlighted in the release. When you talk about second half comparisons to be normal with shipment volume last year is that just are you just referencing shipment volume or are you talking about margins? Can you comment on any more detail on that statement?
Candace Formacek: We are not really providing specific detail. I think as we look at what we expect to see in the second half or expect we need to be much more comparable than what we see in the first half.
Ann Gurkin – Davenport & Company: So the business in general so that would incorporate volumes potentially margins?
Candace Formacek: Yes I think actually we are expecting the volume to be potentially higher in the second half.
Ann Gurkin – Davenport & Company: Okay, great. And this is comment a change in how you look at the year from the Q1 call or is this in line with expectations for the year and you are just commenting on it now?
Unidentified Corporate Participant: I think it largely remains inline Ann.
Ann Gurkin – Davenport & Company: Okay, great. And can you comment on the quality of the crops globally at this point?
Unidentified Corporate Participant: U.S. is clearly negatively affected by all the rain we had earlier in the year that’s the most significant quality aspect.
Ann Gurkin – Davenport & Company: Okay and the previously announced capital spending amount of $50 million, I know you are spread over two years is it skewed more one year or the other how should we think about the timing of that $50 million spending?
Unidentified Corporate Participant: Well it’s really hard even for us Ann, a lot of part of the cost to install in a new line is not the cost of the equipment that goes into the line. It’s all about the timing of those installation cost and therefore how far we are at March 31st as a point in time, what checks we have written to contractors and internal installation cost, the cash flow aspects of peers have been really hard to estimate. I mean needless to say for fiscal ’14 they would be significantly higher than normal.
Ann Gurkin – Davenport & Company: Okay, fair enough. And then regarding these projects and Africa other detail you can share like payback period, operating margin on the additional line when it’s fully running, customer order, anything you can share, any contract benefit?
Candace Formacek: I think Ann you know it’s fair to say that the projects that we do all of our projects require acceptable rate of return for us to accept them and they also require to have customer support.
David C. Moore: I will take your question on tax rates. You know our whole income tax philosophy is based on remitting all of our excess profits back to the United States. So even if we have a tax holidays in the foreign country we are going to [provide[ took taxes and anticipate the expense of US income taxes. So from a financial accounting perspective you know you typically would not see that have any impact on our P&L.
Ann Gurkin – Davenport & Company: Okay you have been using 35% tax rate for fiscal ’14 and ’15 is that fair still David?
David C. Moore: I don't think it’s fair. It’s probably going to be I think the six-months number was little bit lower than that but something in that range is going to be accurate.
Ann Gurkin – Davenport & Company: Okay and then any update on your joint-venture in purchasing cartridges for e-cigarette, any other detail you can share on that?
Candace Formacek: No specific detail Ann this time. You know we are continuing on. The venture is busy in their production development phase and talking with a number of potential customers so we are on track with that.
Ann Gurkin – Davenport & Company: Okay, great. Thank you. I will pass it on.
David C. Moore: Thank you.
Candace Formacek: Thank you.
Operator: (Operator Instructions) Your next question comes from Brian [Hunt].
Unidentified Analyst: Thank you. I was wondering if you could give us an idea of what is the net change in total processing capacity from your expansion in Mozambique?
Unidentified Corporate Participant: Theoretically it should double. I don't know if we published the amount but I can’t say that we are currently operating essentially beyond capacity and that really we have been waiting for this equipment to free-up in Brazil but we needed to get this extra processing capacity for some time.
Unidentified Corporate Participant:  An absolute capacity is sort of a fascinating thing and that is all about how many hours per day you run, whether you run weekends how many months you run versus the timing of the way the crop comes in but in lot of ways true it’s been official from an efficiency standpoint to process leaf tobacco quicker and get it shipped quicker. So sometimes you will increase capacity probably because you need extra capacities for volume. Sometimes it’s about the efficiency of processing.
Unidentified Analyst: And you are moving equipment from Brazil to Mozambique according to your press release but it sounds like net-net there will be no significant incremental hard assets that are on the ground to know account for future growth, is that a fair statement?
Candace Formacek: Well I think the numbers we put out there include a number of elements in that and while you can reutilize a good portion in that stage of quite a bit. I wouldn’t say that there are no investments in equipment in that number; there is certainly some additional new equipment purchases that would be part of that expansion. And those are all contained in the estimates that we provided in that in the earnings release. Did I understand that properly?
Unidentified Analyst: Yes, I mean my basic question was one there is any new equipment going into place that's going to enhance the total company’s capacity ability of process tobacco or is this a moment of pieces on checker board if you will?
Candace Formacek: I think from an equipment standpoint it will although...
Unidentified Corporate Participant: From equipment point of view...
Unidentified Corporate Participant: Yeah, but it sort of, right it was....
Unidentified Analyst: It was idle capacity. okay, that's fair. Could you talk about this is a new customer that you’ll be servicing with this incremental capacity that you’re putting in Africa or whether this is a existing customers that it's just incremental volumes selling to them?
Unidentified Corporate Participant:  Well, there is no new customers I mean the customers that we will put in the equipment for existing customers that’s on a global basis as well but to the extent that you expand crop we’re doing that to meet the request of our customers.
Unidentified Corporate Participant: We need to process, I mean I think it is fair to say we’re trying to expand the optimism...
Unidentified Analyst: And when you look at Mozambique based on the extended capacity you have in place, how much of the total production of the country will you account for with your processing capacity?
Candace Formacek: We don’t really get that specifics out I’m sorry.
Unidentified Corporate Participant: Yeah, you can dig and see it's pretty kind of....
Unidentified Analyst: And then my last question is when you look at the outlook for overall -- full cured for this year as well as Burley are we looking at the balanced supply and demand situation in your opinion as well as do you believe that uncommitted inventories are going remain at very low levels for the next 12 months?
Unidentified Corporate Participant:  Well, again the crops size is key, they coming down and a lot haven’t been planted but I do know we have sort of received customer orders I think if we look at our customers recent announcements which all came out in the past few weeks, their volumes are down. So there are lot of things moving up, I think it’s looking out it’s hard to say but this year is still high but it’s loosening a little bit.
Unidentified Corporate Participant: It is difficult for us to comment on unsold stocks held by manufacturers and other dealers but I think it is safe to say that we expect our uncommitted inventories to remain as levels comparable to where they are now.
Unidentified Analyst : Okay. And then my last question, I believe in the last 12 months there has been a small processor independent processor of leaf tobacco in Brazil that has closed operations and it sounds like the business environment for leaf processing in that market remains volatile, has it become difficult enough for any other competitors in that market to close based on what you see?
Unidentified Corporate Participant: I’m trying to think who closed in Brazil.
Candace Formacek: There are a larger number of players there and we did see some volatile pricing this year in that region. So it is always possible for there to be more movement in that region.
Unidentified Corporate Participant: And there is a lot of excess capacity, processing capacity.
Unidentified Corporate Participant: In a difficult market like Brazil was in current season I mean people that are not buying tobacco for order are going to have far more risk and you got to have financial strength to play the game.
Operator:
Ann Gurkin – Davenport & Company: I have a couple of follow up questions, thank you for taking that. I wanted to ask you about North America the top line and operating income they’re both better than earlier expecting and in the release you referenced higher sales can you help me understand what’s going on there?
Candace Formacek: Well Ann we are seeing you know comparisons in the quarter. We’re definitely better in that segment for this year. There was favorable product mix and some of the higher volumes were shipment timing in Central America.
Ann Gurkin – Davenport & Company: Okay and then the timing of shipments I think that impacted South America and Africa. Can you quantify that number?
Candace Formacek: Very hard to quantify specifically. I mean I think we needed that quarter be there but transition in terms of the carryovers we are comparing to last year also there are larger crops this year so some of the movements of the shipments outward are little bit more delayed than they were last year when the overall crop sizes were smaller but some of those are having affects and influences on the timing of comparisons in this particular quarter.
Ann Gurkin – Davenport & Company: Do you expect to ship that volume in this fiscal year?
Candace Formacek: Yes I think what we have said is that for the rest of the year we are expecting to see shipments meeting or exceeding last year’s second half.
Ann Gurkin – Davenport & Company: Okay, great. And then regarding India there's companies reported difficult political environment, difficult currency, difficult economy are you seeing any impact...
Candace Formacek: I am sorry. We are not understanding. Could you just repeat that question?
Ann Gurkin – Davenport & Company: Operations in India, I am just curious if you are seeing any impact from political unrest, difficult economy, unfavorable government, is there any kind of impact?
Unidentified Corporate Participant: No we are not seeing anything like that.
Ann Gurkin – Davenport & Company: Okay, great and my same question relates to China as you hear more about the Chinese government becoming anti-American are you seeing any change in order patterns from the Chinese release globally?
Candace Formacek: No.
Ann Gurkin – Davenport & Company: Okay, great. Thank you so much.
Operator: And there are no further questions at this time.
Unidentified Corporate Participant: Have a nice evening.
Candace Formacek: Thank you very much for joining us.